Operator: Good day and thank you for standing by. Welcome to the Dundee Precious Metals Fourth Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Jennifer Cameron. Please go ahead.
Jennifer Cameron: Thank you and good morning. I'm Jennifer Cameron, Director, Investor Relations and I’d like to welcome you to Dundee Precious Metals Fourth Quarter Conference Call. With me today are David Rae, President and CEO; Hume Kyle, Chief Financial Officer; and Michael Dorfman, Executive Vice President, Corporate Development. After the close of business yesterday, we released our fourth quarter and annual results for 2021 [ph] as well as our three-year outlook and 2022 guidance and I hope you have had a chance to review our material. All forward-looking information provided during this call is subject to the forward-looking qualifications, which is detailed in our news release and incorporated in full for the purposes of today’s call. Certain financial measures we refer to during this call are not measures recognized under IFRS and are referred to as non-GAAP measures or ratios. These measures have no standardized meaning under IFRS and may not be comparable to similar measures presented by other company. The definitions established and calculations performed by DPM are based on management’s reasonable judgment and are consistently applied. These measures are intended to provide additional information and should not be considered in isolation or as a substitute for measures prepared in accordance with IFRS and it outlined the nearly GAAP measures to those referenced in this presentation on Slide 3 of the webcast. Please refer to the Non-GAAP Financial Measures section of our most recent MD&A and reconciliations of these non-GAAP measures. Please note that unless otherwise stated, operational and financial information communicated during this call are related to continuing operations and have generally been rounded. References to 2020 pertain to the comparable period in 2020, and references to averages are based on midpoints of our outlook or guidance. I'll now turn the call over to David Rae.
David Rae: Thanks, Jennifer. Good morning and thank you all for joining us. This morning I'll briefly review the highlights of our full year results and our operational performance before handing the call over to Hume to discuss our financial results. As we reported yesterday, 2021 was an excellent year for DPM across a number of areas. We produce approximately 310,000 ounces of gold, delivering record production for the third consecutive year. We continued to manage our costs, resulting in an industry leading all-in sustaining costs of $657 per gold ounce. We generated record financial results in 2021, including $252 million of free cash flow, and $202 million of adjusted net earnings, and we ended the year in a very strong financial position. During the year, we strengthened our asset portfolio, increasing mineral reserves and extending mine life at Chelopech and added the high-quality Loma Larga project to our development portfolio. We continued to advance our exploration activities at Ada Tepe, Chelopech and Tsumeb and in addition to our strong operating performance and advancements of our growth pipeline, we also returned a total of $33 million to shareholders through our quarterly dividend and share repurchase program during the year. Yesterday, we also announced that we increased our quarterly dividend by 33% from $0.03 to $0.04 per share, given our strong outlook for the business and commitment to disciplined capital allocation. And finally, we continued to deliver on our ESG priorities, which is demonstrated by the positive ratings that DPM received from rating agencies, including an A rating by MSCI and a score in the 91st percentile among metals and mining companies in the 2021 S&P Corporate Sustainability Assessment. Turning now to the highlights of our operations, I'll start with Chelopech. Chelopech continued its track record of consistent performance, producing approximately 177,000 gold ounces, and 35 million pounds of copper at an all-in sustaining cost of $722 per ounce. In Q4 Chelopech produced 49,000 ounces of gold and 9 million pounds of copper, which was above our expectations for the quarter as a result of higher gold grades and recoveries. We continue to focus on extending the mine life through our in-mine and brownfields exploration programs. In November, we received approval for a one year extension to the Sveta Petka exploration license, which surrounds the Chelopech mine. This allows us to move forward with the commercial discovery phase work and permitting is nearing completion and we plan to undertake a 35,000 meter drilling program this year. In 2021 we also continued testing conceptual targets within the Brevene exploration license, as well as scout drilling at several near-mine prospects including Vozdol, Petrovden, and Sharlo Dere. With a mine life that extends to 2029 and updated mineral resource base and increased in-mine and brownfield exploration drilling, we believe there's strong potential to continue our track record of mine life extension at Chelopech. Ada Tepe has continued to deliver impressive performance producing approximately 133,000 gold ounces in 2021 at an all-in sustaining cost of $583 per ounce. In Q4 Ada Tepe achieved a new record for quarterly production with approximately 34,000 gold ounces, which is slightly above plan due to higher grades. As we look to the year ahead, we are assessing the results of the accelerated grade control program at Ada Tepe. This drilling was completed in January and initial information for the 2022 mining areas was reflected in our production guidance for 2022. Sorry, I said the work was completed in 2020, my statement 2022. We are in the process of incorporating the results from this drilling program into an optimized mine plan, which is expected to be completed in the first quarter, sorry in the third quarter of 2022. We are continuing our exploration efforts around Ada Tepe with 20,000 meters of drilling planned in 2022, which will be focused on near-mine target delineation and drilling within the mine concession and surrounding Krumovitza exploration license, as well as scout and target delineation on regional licenses, including Chiriite, where several new vein targets were identified in 2021. Turning to Tsumeb, the smelter processed approximately 190,000 tonnes of complex concentrates in 2021. This was slightly below our revised guidance for the year as a result of the planned maintenance shutdown during the first quarter, as well as unplanned maintenance downtime during the second half of the year, related to water leak in the Ausmelt off-gas system. Despite lower than expected throughput, cash cost performance of $479 per tonnes was in line with guidance. Our strong 2021 results demonstrate our ability to deliver significant free cash flow and our commitment to allocating our capital in a disciplined manner. Looking forward, we've updated our three-year outlook and that reflects a strong production and attractive all-in sustaining cost profile. Hume will provide further details in a moment, but I want to highlight our outlook for all-in sustaining costs reflect higher costs associated with ocean freight and higher prices for electricity and direct materials in Bulgaria. We have a strong track record of leveraging innovative technologies that optimize performance and mitigate these cost pressures. For example, at Chelopech and Ada Tepe we've successfully implemented advanced process control technology, resulting in greater process efficiencies and improved recoveries. Another highlighted how we've utilized blast movement technology at Ada Tepe to reduce dilution and ore loss and in turn increase gold production. So leveraging DPM's strong culture of innovation to optimize performance, we can look to reduce costs and improve safety and expect that to continue to be a priority as we move forward. In terms of future growth, we continue to advance our portfolio of growth projects. Since acquiring the Loma Larga project in the third quarter of 2021, we focused on integration activities, stakeholder engagement, and a review of the technical studies and permitting schedule for the project. We are targeting to complete a revised feasibility study in 2022 and have commenced a 15,800 meter drill program in support of the technical study in the first quarter. We're also progressing discussions with the Government of Ecuador on the Investor Protection Agreement, which we plan to complete prior to making any significant capital commitments on the project. Based on our revised permitting schedule, we expect to receive the major environmental permits toward the end of 2022, which we expect to be followed by finalization of an Exploitation Agreement with the government and receipt of construction permits. Turning to the Timok project in Serbia, we continue to progress the feasibility study based on the oxide and transitional portions of the deposit, which is on track for completion in Q2 of 2022. As we advance the feasibility study, we have several initiatives underway that are directed at reducing the initial capital estimate to optimize overall economics. Last night, we announced that as part of the Board of Director's ongoing Succession and Refreshment process, our Chair, Jonathan Goodman, will not be standing for re-election at the upcoming Annual Meeting of Shareholders. Peter Gillin, currently Deputy Chair, will assume the Chair position subject to his re-election at the Annual Meeting. On behalf of the Board and the entire team at DPM, I'd like to take a moment to acknowledge Jonathan for the pivotal contributions he has made since 2003 in his capacity as Founder, Shareholder, CEO, and now Chair of DPM. Starting with the acquisition of our Bulgarian assets and their transformation into world-class operations, Jonathan has been an integral part of our growth into the leading environmentally and socially responsible mid-tier producer we are today. His strong leadership and guidance over the years established a strong foundation for our company's values, which been critical to our success and will continue to serve us going forward. To wrap up, 2021 was another very strong year for DPM. Our strong gold production profile and significant free cash flow generation positions us well to continue delivering value for all of our stakeholders. We've also demonstrated a strong track record of deploying our capital in a disciplined manner. In addition to enhancing our portfolio with the high-quality Loma Larga project, we've continued to pay a quarterly dividend since 2020. In aggregate between our dividends and share repurchases, we returned approximately $33 million or 30% of our free cash flow back to shareholders in 2020 -- 2021, sorry. And as mentioned, we are further increasing our quarterly dividend by 33% reflecting our positive outlook for the business. We firmly believe that DPM's strong fundamentals continue to represent a compelling value opportunity for our investors. And I'll now turn the call over to Hume for a review of our financial results and outlook, following which we will open the call to questions.
Hume Kyle: Thanks, David. As David mentioned, we had record annual gold production in 2021 and together with a favorable commodity price environment and solid all-in sustaining cost performance, we delivered record annual earnings and cash flow. In the fourth quarter adjusted net earnings were $51 million or $0.27 per share, up 16% year-over-year and for the year, adjusted net earnings were $202 million, or $1.09 per share, compared with $1.04 per share in 2020, representing a 4% increase. These increases were primarily attributable to higher realized metal prices, higher gold volumes, or sorry, higher volumes of metal sold, partially offset by higher operating and royalty expenses, lower annual throughput at Tsumeb and a weaker U.S. dollar. Net earnings attributable to common shareholders for 2021 were $210 million. This included a $20 million gain from the sale of MineRP as well as a mark-to-market after tax loss in respect of our Sabina special warrants and shares, none of which are reflective of our underlying performance. In terms of our cash flow metrics, cash flow from operations before changes in working capital was $80 million for the fourth quarter, up $30 million from Q4 2020 and $309 million for the year, up $60 million year-over-year. Free cash flow was also higher in the fourth quarter with cash flow generation of $66 million, up 67% compared to 2020. And for the year free cash flow generated was $252 million, up 19% from 2020 representing one of the stronger cash flow yields in the sector. These year-over-year increases in cash flow reflect the same factors that impacted our earnings, as well as the favorable impact from the fulfilment of the pre-existing prepaid forward gold sales agreement, partially offset by higher cash outlays for sustaining capital expenditures. Turning to our consolidated cost measures, we continue to focus on margin improvement and cost performance at all of the operations. For the quarter our all-in sustaining costs was $757, up 16% relative to 2020 due primarily to higher operating expenses, and higher treatment charges partially offset by higher volumes of gold sold. For the year we reported an all-in sustaining cost of $657 per ounce, which was in the middle of our guidance and comparable to 2020, reflecting solid operating performance at both Chelopech and Ada Tepe, as well as higher by-product credits attributable to higher realized prices from copper, partially offset by higher operating expenses, royalties and sustaining capital expenditures. At Tsumeb Q4 cost per tonnes were $445, up $39 compared to 2020, due primarily to higher operating expenses as a result of higher maintenance costs, partially offset by higher sulphuric acid by-product credits, reflecting the higher prices that we received. For the year cash cost per tonnes was $479 for 2021, which was lower at the lower end of the guidance range and up $102 compared to 2020, reflecting lower volumes smelted and the fixed costs nature of the facility, combined with a strong result relative to the U.S. dollar. From a capital expenditure standpoint, our sustaining capital expenditures incurred during the fourth quarter were $12 million, which was comparable to the corresponding period in 2020. For the year our sustaining capital expenditures were $53 million, up from $41 million in 2020, reflecting the Q1 planned maintenance at Tsumeb and accelerated grade controlled drilling at Ada Tepe. Growth capital expenditures incurred during the quarter were $7 million, up $3 million from the corresponding period in 2020 and for the year growth CapEx was $17 million compared to $8 million in 2020 as year-over-year increases were due primarily to the work related to the development of our Timok and Loma Larga gold projects. Turning to our updated three-year outlook and more detailed 2022 guidance, for 2022 we are expecting increased production relative to the previous outlook as a result of higher expected recoveries at Chelopech, partially offset by lower expected gold production at Ada Tepe, reflecting the results of its accelerated grade controlled drilling program. Over the next three years, we currently expect annual production to average approximately 270,000 ounces of gold per year and $35 million pounds of copper, in line with our prior outlook. From a cost standpoint, we continue to forecast an attractive cost profile with an all-in sustaining cost per ounce of gold expected to be between $750 and $890 in 2022. Over the next three years, we expect an average annual all-in sustaining cost in the range of $675 to $805 with year-over-year variations reflecting expected gold grades and volumes of gold concentrate delivered to third party smelters. These ranges are up roughly 5% from our prior outlook, reflecting recent cost increases in respect of ocean freight, electricity and direct materials, and higher sustaining capital expenditures, partially offset by higher copper by-product pricing. At the smelter, annual throughput is expected to be between 210,000 and 240,000 tonnes in 2022, and 2023 and between 220,000 and 250,000 tonnes in 2024. This reflects a targeted 18-month furnace maintenance schedule, with the next shutdown expected during the second quarter of 2022. Cash cost per tonne of complex concentrates smelted is expected to be between $380 and $460 per tonne in 2022, and then will drop to between $340 and $450 per tonne during 2023 and 2024, reflecting the impact of increased throughput, as well as estimated cost savings from a comprehensive initiative directed at optimizing the cost structure of the smelter. Sustaining capital expenditures are expected to be between $57 million and $67 million in 2022 and thereafter decline to between $46 million and $54 million in 2023. This is up from our previous outlook due primarily to Chelopech's upgrade of its tailings management facility, some of which is carried over from 2021, mobile equipment purchases, underground capital development, and some capitalized deferred stripping costs at Ada Tepe that were previously treated as an operating expense. In 2024, sustaining capital expenditures are expected to decrease further to a range of $42 million to $49 million. For 2022 we also plan to reinvest additional capital to grow the business. In particular, growth capital expenditures are expected to be between $31 million and $49 million comprised primarily of $21 million to $31 million related to the technical and permitting work associated with the low Loma Larga Gold Project and $8 million to $12 million related to the feasibility study for the Timok Gold Project. And exploration is expected to be between $16 million and $19 million and will be focused primarily on 60,000 meter brownfield drilling program on mine concessions and exploration licenses primarily at or around the Chelopech and Ada Tepe mines in Bulgaria, and the Timok gold project in Serbia. In closing, 2021 was another solid year of operating performance with record free cash flow generation of $252 million, of which $35 million was invested towards improving the margin and extending the lives of our existing assets, and to developing our Loma Larga and Timok gold projects, and $33 million was returned to shareholders in the form of dividends and share buybacks. As a result, our cash position increased by $185 million to $334 million at December 31 and with no debt, we are well positioned to develop our existing assets and to invest in new growth opportunities in a disciplined manner, while continuing to return capital to our shareholders, a base portion of which will continue to be in the form of a sustainable quarterly dividend, which for Q1 has been increased by 33% to $0.04, reflecting the continued free cash flow generation of the business and our positive outlook. With that, I will turn the call back to the operator.
Operator: [Operator Instructions] Our first question comes from the line of Trevor Turnbull from Scotia Bank. You may begin.
Trevor Turnbull: Hi, thank you. I just had a question about some of the refined guidance you gave Ada Tepe after doing some of the delineation drilling. I couldn't remember if this was the first year that you've done this delineation drilling and if it isn't the first year, can you just kind of remind us of how that's worked out in the past? I guess I'm just trying to kind of benchmark the changes you saw in the guidance for Ada Tepe this year, maybe compared to previous years and if there's any read through for the remaining life of mine?
David Rae: Hi Trevor. I don't have the precise numbers at hand, but just no, this is not the first year that we've done this. So from the original resource model that we have, we looked at what would be the best spacing in order to give us most representative grade control model. And in the course of doing that, for the first year of production, what we recognized was that there was a reduction in tonnage relative to the resource model, and there was an increase in grade, and the two effectively offset with about a 3%, positive number of ounces. So overall, it didn't make a material effect in the sense of the ounces, but it was slightly positive in terms of what we could expect to see at the facility. And then just closing that commentary, what you also see is that from the grade control model through the plant, we're also seeing a slight bias to the positive in terms of gold ounces as well. So, to your specific question, not the first time that we've done this, when we did 2022 and that's all that we've taken into account at this point. We have the same thing where we saw a tonnage reduction and a grade increase, and it was offset slightly the other way. So it was slightly lower in terms of the number of ounces, but not material and as a consequence of that, that's why we adjusted the guidance for 2022. What we've done, we've finished off in January this year that 217 kilometer program which started last year, and we are busy at the moment taking that information into hand with the idea being that what we will do is we'll revise our outlook for the remainder of the life of mine at some point in Q3 this year.
Trevor Turnbull: Okay, thank you. Thank you, David.
Michael Dorfman: Sorry, but you did say, can you read it through? No, I wouldn’t do that at this point. So what we're finding is that it was slightly positive actually for the first two years. It was slightly below for 2022. I wouldn't read anything to at this point.
Trevor Turnbull: Yes, now just kind of normal variants, both ways. The other question I had is about the smelter, and I apologize, Hume may have touched on it, and I may have missed it. I just wondered, if Hume did mention or if you can tell us a bit about the amount of Chelopech concentrates going to the smelter, is it going to be a bit like last year, where you're continuing to use potentially third party for your concentrates or is that starting to flow back in greater proportion to Tsumeb?
Hume Kyle: Yes, I would say that we're continuing to divert material to China where we can, but we will probably send a little bit more material to Tsumeb in 2022 than we did in 2020, in 2021, but you know, very comparable.
Trevor Turnbull: Okay, I appreciate it. That's all I had, guys. Thank you.
David Rae: Thanks, Trevor.
Operator: [Operator Instructions] I'm not showing any further questions in the, never mind. I do have a question from Wayne Lam from RBC. You may begin.
Wayne Lam: Hey, good morning guys. I just have a question on Chelopech, you guys had mentioned seeing a bit of improvement on the recoveries to offset, and just wondering if you might be able to provide a little bit more detail on that front?
David Rae: Sure, hi Wayne. Historically, if you look at what we've done is we've optimized the overall recovery over time and I think if you look at the MD&A, you'll notice that for the last year, it was around 76%. If you go back a number of years, you'll find that that was down in the 60% number. So what we've been doing is, we've been maximizing the amount of pyrite concentrate commercial terms as a previous activity, but in 2022, we also started to bring in some additional things that we've been working on. So we've done some activities which are focused on sort of initial reaction to the information that we're getting in the plant to work with the supervision in terms of giving them the tools required to be able to take decisions more precisely first time, as opposed to more of a learning curve. And those things were there's two different elements to that, one is more of the management process, but the other piece is, this advanced control technology that we were talking about that we've been working with Metso Outotec on implementing across our operations, by the way, but for last year, it had impacts specifically at Chelopech and Ada Tepe. So what's now happening is, we've got that which is giving us a slight reduction in variability, which ultimately means the recovery overall goes up. And then for 2022, we're also working on another thing now, which is looking at the grade recovery relationship and the appropriate point for that, relative to what implications that has for the life of mine for Chelopech. So there's quite a big additional activity that's going on at the moment that we anticipate has the potential to take that recovery to around 80% in total between pyrite and copper concentrates. So a few different things over time, things that happened in 2021 and what you can expect to see this year.
Wayne Lam: Okay, perfect, thank you. And then just a quick question that Ada Tepe, should we expect to see any major change in the strip ratio over the three-year outlook?
David Rae: Yes, so actually this year relative to previous years, the strip ratio has increased as we get into pushback to that's the main thing that affects the answers projection for this year. Just at a very high level, the main part of that work will be in the first three quarters, and Q4 is going to revert more to what we were seeing in 2021 just in terms of that additional work. So yes, that strip ratio for this year has gone from 2 to 4 and we'll revise the strip ratios as we complete some of the work that's now going on with the great control modeling. So we've previously projected what that is in the technical report. So feel free to look at that or give us a call if you'd like to get more clarification on that. We'll be revising that as we get into Q3 this year.
Wayne Lam: Okay, great. That's all I had. Thank you, guys.
Operator: Our next question comes from the line of Don DeMarco from National Bank. You may begin.
Don DeMarco: Oh, hi. Thank you, operator, and good morning, gentlemen. My question has to do with the exploration program at Ada Tepe. So I see that for 2022 you've got, I think it's 20,000 meters budgeted, Chelopech is 35. I'm just thinking looking at the mine life at Ada Tepe, does the program reflect a priority to try to extend the mine life? And if you can talk about maybe the most promising -- what the most promising target might be in terms of resource accretion extending the mine life? Thank you.
David Rae: Hi, Don. Yes, so Chelopech, yes keep in mind that sort of really talking about Chelopech is around 35,000 metres, right? That's going to be new, this is an area we've been looking to drill and unfortunately have things delayed with some of the election processes in Bulgaria. So that's the most -- the biggest focus. But the number that you quoted in total for Chelopech, keep in mind that that's only part of the activity, though, we also do an additional 45,000 meters from underground of which two thirds of that is extensional. So Chelopech in that sort of 50,000 to 60,000 meters, 35,000 meters is going to be focused on Chelopech, but as I mentioned, another 44,000 meters on top of that. In terms of Krumovgrad, these are the targets that we want to do work on with the idea being that we're looking at what opportunities we have to bring in these and other resources into Ada Tepe as we get towards the mine life. So, there's actually a bit of a spread of sort of activity. We've got Chiriite [indiscernible] and other areas immediately around Krumovgrad, and we've got this new exploration license called Krumovitza, which is immediately around the asset that we're now actively doing more work on. I suspect that you're going to see some development in our focus on these targets through the years. So this is going to be something that'll be an ongoing conversation. Do I feel that it's appropriate for where we are? I feel it's appropriate given the targets that we have and the work that we feel we should be doing. We obviously do recognize there's some urgency to replacing the current resource and reserve at Ada Tepe. I don’t know if that answers the question.
Don DeMarco: Yes, that's great. Thank you for that. That's all, thanks.
David Rae: Thanks, Don.
Operator: [Operator Instructions] And I'm not showing any further questions in the queue. I'd like to turn the call back over to Jennifer Cameron for any closing remarks.
Jennifer Cameron: Thank you, operator. And if there are no further questions, please feel free to reach out and we look forward to keeping you updated on the next call.
Operator: And this concludes today's conference call. Thank you for participating. You may now disconnect. Everyone have a good day.